Operator: Good day, everyone, and welcome to today's conference. Before we get started, let me remind you that today's conference call contains forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995 and includes statements as to estimates, expectations, intentions and predictions of future financial performance. Statements that are not historical facts are forward-looking. Participants are directed to Trinity's Form 10-K and other SEC filings for a description of certain of the business issues and risks, a change in any of which could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. At this time, I would like to turn the conference call over to Gail Peck, Vice President of Finance & Treasurer. Please go ahead.
Gail M. Peck - Treasurer & Vice President of Finance: Thank you, Tony. Good morning, everyone. Welcome to the Trinity Industries' first quarter 2015 results conference call. I'm Gail Peck, Vice President, Finance and Treasurer of Trinity. Thank you for joining us today. Similar to the format we used on our last earnings call, we're going to have two parts to our conference call remarks. First, we will begin with an update on the Highway litigation matter. We will then follow with our normal quarterly earnings conference call format. Today's speakers are Theis Rice, Senior Vice President and Chief Legal Officer; Tim Wallace, our Chairman, Chief Executive Officer, and President; Bill McWhirter, Senior Vice President and Group President of the Construction Products, Energy Equipment, and Inland Barge Groups; Steve Menzies, Senior Vice President and Group President of the Rail and Railcar Leasing Groups; and James Perry, our Senior Vice President and Chief Financial Officer. Following their comments, we will then move to the Q&A session. Mary Henderson, our Vice President and Chief Accounting Officer, is also in the room with us today. I will now turn the call over to Theis Rice.
S. Theis Rice - Chief Legal Officer & Senior Vice President: Thank you, Gail. Good morning, everyone. Trinity Highway Products manufactures and markets the ET Plus guardrail system pursuant to an exclusive license agreement granted by Texas A&M University System. As previously reported, Trinity and Trinity Highway Products received an adverse jury verdict in October 2014 in a False Claims Act case involving the ET Plus. Following the verdict, the Federal Highway Administration, or FHWA, requested that Trinity conduct eight additional crash tests on ET Plus. These tests were completed in January of this year. Following analysis of the crash test data by the FHWA and their independent expert, the FHWA reported that the ET Plus met the required criteria for all eight tests. Earlier this year, the FHWA and the American Association of State Highway and Transportation officials, or AASHTO, together formed two task forces to examine some of the allegations about the ET Plus guardrail system. AASHTO is an association representing highway and transportation departments in all 50 states. The first joint task force investigated allegations of multiple versions of the ET Plus and whether the ET Plus devices used in the eight additional crash tests were representative of the ET Plus devices installed on the roadways. On March 11, 2015, the FHWA and AASHTO released the findings of the first joint task force that evaluated field measurement data collected by FHWA engineers for more than 1,000 ET Plus devices installed on roadways throughout the country. The joint task force concluded there was no evidence to suggest there are multiple versions of the ET Plus on our nations roadways. The joint task force also concluded that the end terminals (04:12) crash-tested at Southwest Research Institute between December 2014 and January 2015 were representative of the ET Plus devices installed across the country. The FHWA has publicly reported that the second joint task force evaluating the ET Plus should complete its work early this summer. Upon release of this task forces findings, we will perform a thorough analysis regarding the resumption of shipments of the ET Plus to our customers. On another note, recent news articles have reported the commencement of an investigation out of the Boston, Massachusetts office of the U.S. Department of Justice. We intend to cooperate in this investigation. Trinity's post-trial motions continue to emphasize that the allegations in the False Claims Act case are without merit. The District Court has ordered the parties to mediate. We are complying with the mediation order in good faith. In the meantime, we are preparing our appeal to the Fifth Circuit Court of Appeals should the District Court enter a judgment on the verdict. We will continue our approach of providing the facts and data that support the strength of our positions. Our first quarter 10-Q will be filed today in which we provide additional information on this litigation in Note 18. If you would like more details relating to my comments, please refer to Trinity Highway's website at www.etplusfacts.com where my February 19, 2015 conference call comments and my April 1, 2015 stakeholder overview are posted. I will now turn the call over to Tim.
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Thank you, Theis. And good morning, everyone. Trinity's financial performance during the first quarter continued to build upon the momentum we established last year. The winter weather provided some unique challenges for our facilities during the quarter. Our businesses responded really well to the weather issues. During the quarter, our company continued to utilize the strengths of our backlogs to drive operating leverage and efficiencies to the bottom line. We're creating value by leveraging our combined expertise, competencies, and manufacturing capacity to produce quality products for a broad range of industrial customers. Our Rail Group generated record quarterly financial results, reporting strong revenues and operating profit during the first quarter. I remain pleased with this group's ability to profitably increase production levels while making line changeovers. Our Rail Car Leasing company delivered another quarter of solid results. Last year, in the first quarter, a large portion of The Group's earnings resulted from the sale of leased railcars from our leased fleet. This year, in addition to a healthy level of earnings from sales of leased railcars, the earnings from our leasing operations increased in the first quarter. I'm pleased with our Inland Barge Group's performance during the first quarter. The Group increased its profits level from previous quarters on a lower volume of revenue. In addition, the barge backlog increased during the quarter as a result of the Group's manufacturing flexibility. The first quarter financial performance of our Energy Equipment Group continued to improve and our Construction Products Group returned to profitability during the quarter. Overall, I'm pleased with our financial performance during the first quarter. During the short term, we are focused on generating higher earnings this year than the record level we established last year. We're continuing to operate our company on lean principles as we look for opportunities to conduct railcar leasing and other asset transactions that generate cash and provide earnings. From a longer term growth point of view, we continue to search for acquisition opportunities in markets that have products, services, technologies and competencies that fit within our portfolio of industrial manufacturing businesses. Trinity's corporate business model is designed to generate value through our ownership and management of industrial companies that benefit by being part of Trinity. Our 2014 asset acquisition of Meyer Steel Structures is a good example of a company that fits well within our portfolio. As we begin the second quarter, Trinity's financial and operational health remain solid. Our 2015 earnings outlook reflects the positive momentum we're experiencing within our company, as well as the benefits of having solid backlogs in our primary businesses. Our accomplishments are due to the capabilities and expertise of our dedicated employees, our ability to respond effectively to shifts in demand, and our ongoing commitment to quality and customer service. I'll now turn it over to Bill for his comments.
William A. McWhirter - Group President-Construction Products & Senior VP: Thank you, Tim. And good morning, everyone. During the first quarter, the Inland Barge Group reported a 12% year-over-year increase in revenues and a slight increase in operating profit. I'm pleased with the Group's performance in the first quarter. During the first quarter, we received orders for new barges, totaling approximately $280 million, resulting in a backlog of $565 million at the end of March. This is the highest backlog reported by the Group in more than six years. Our ability to capture a large number of orders during the quarter is due to our operational flexibility. Order patterns in the industry shifted from liquid barges to dry barges. Our Barge Group's operational flexibility is a key differentiator, enabling the Group to enhance profitability while responding to customers' needs. Inquiries for hopper barges continued at steady levels during the first quarter due to the strong harvest last year and expectations for another solid harvest this year. Demand for 30,000-barrel tank barges, which carry crude oil, remains weak at this time. Demand for 10,000-barrel tank barges continues to reflect expectations for expansion in the chemical markets along the Gulf Coast. As a result of the shifting market demand, we anticipate lower margins as we move through the year. Moving to the Construction Products Group. I am pleased that this group returned to profitability in the first quarter. Year-over-year revenues were essentially flat. As a reminder, the first quarter of last year included a gain of $11.2 million related to an asset disposition. These provided an update of our Highway litigation matters, which continue to impact results in our Highway Products business. In addition our Highway business is also affected by the pending expiration of the current Federal Highway Bill in May. Partially offsetting these negative headwinds is strong performance of our Aggregates business, which is benefiting from a robust Southern U.S. market. In the first quarter, we completed another acquisition of lightweight Aggregate assets. The acquisition strengthens our ability to serve our customers. The Energy Equipment Group reported another record level of revenues and profit during the first quarter. We are pleased with the performance of the segment but do expect some variability within the segment's performance from quarter-to-quarter as a result of the product mix and volume. The integration of the businesses we acquired in 2014 continue to progress smoothly. The Meyer purchase is a great example of an acquisition that have generated synergies and enrichment value, has tremendous cultural fit and positive long-term demand drivers (11:26). Market conditions within the segment vary by product (11:30). Lower oil prices have created headwinds for several of our business units. We remain positioned to respond to changes in demand, should we see an increase in oil prices. The current market for utility structures remains competitive. The long-term investment projections for this industry show positive fundamentals. We are well positioned to respond to increased transmission infrastructure spending in North America. Our wind tower business is performing at a high level due to long production backlogs. The wind industry continues to make advancements in reducing the installed cost for wind farms (12:02). In closing, our business is responding effectively to mixed demand conditions in a number of their markets. Our long-term outlook for energy and infrastructure investment in North America remains positive. And now I'll turn the presentation over to Steve.
D. Stephen Menzies - Senior Vice President: Thank you, Bill. Good morning. I continue to be very pleased with the strong operating results generated by our dedicated Trinity Rail team and the benefits of our integrated business model. I am also excited about our operating and financial flexibility, which allows us to meet shifting market and customer demand. Our achievement in these areas drove record performance levels during the first quarter in our Rail and Leasing Groups. Going forward, broadening railcar demand, continued expansion in downstream energy and chemical markets and an aging North American railcar fleet support solid long-term railcar demand fundamentals. The pending new tank car regulations, we believe, will also contribute or increase demand for tank cars and maintenance services. Our industry-leading backlog comprised of a broad mix of railcars enabled extended production runs that positioned our Rail Group to generate high levels of productivity and efficiencies. This contributed to our outstanding financial performance during the first quarter. Our Rail Group set another record, our ninth consecutive for quarterly revenues and operating profit. We also delivered a record 8,710 railcars during the quarter. As a result of productivity improvements, we now expect to deliver between 33,000 and 34,500 railcars in 2015. Trinity Rail is also well positioned and prepared to an increased demand for newly built tank cars and modifications to existing tank cars once HM-251 regulations are finalized. During the last two years, we invested significantly in our business to handle the regulatory compliance requirements and anticipated modification requirements of our fleet and those of key customers. Our current expectation is that we will have regulatory clarity in mid-May. We continue to believe HM-251 regulations will be a demand catalyst for tank cars. However, it may take some time for customers to evaluate the impacts of the ruling and assess their business needs. As a result, while it is certainly possible that some orders maybe imminent pending finalization of the rule, we think it is more likely that industry orders will be placed over several subsequent quarters as our customers complete their assessments. As we mentioned last quarter, tank cars destined for crude oil service comprised a nominal portion of our backlog, and those are scheduled for delivery in 2015. A number of these tank cars are being built to a higher standard than as currently required and may closely align with the anticipated standard in the new regulations. Industry orders in the first quarter reflect broad-based market demand, downstream petrochemical and chemical markets growth, and fleet replacement demand. Trinity Rail received orders for 4,865 new railcars resulting in a backlog at quarter end of 57,190 railcars with a value of $6.8 billion. We're pleased with the diversification of our order backlog and the orders we received in the first quarter, both of which reflected broad mix of railcars for the energy, chemical, agricultural, and other consumer-related industries. Given the healthy relative pace of inquiries in the last few quarters, which has continued into the second quarter of 2015, we remain confident in the current railcar market fundamentals. Trinity Rail's backlog at the end of the first quarter gives us excellent visibility to plan our operations for the next few years. The strength of the railcar market continues to have a positive effect on our Leasing Group. Revenue and profit from operations, which excludes railcar sales increased year-over-year by 11% and 29% respectively. New additions to the wholly-owned lease fleet, high fleet utilization levels, and strong increases in lease rate pricing during the first quarter all contributed to a record quarterly performance. Our lease fleet continues to experience strong demand with good renewal success. Fleet utilization remains over 99%. Our total lease fleet now stands at 76,170 railcars after taking delivery of 2,240 railcars offset by the sale of 2,000 leased railcars during the first quarter. At the end of March, 33% of the railcars in our order backlog were committed to customers of our Leasing business, bringing our leased railcar backlog to a record $2.3 billion. Our strong lease origination capabilities combined with our position as a leading railcar manufacturer and owner of a large diverse lease fleet make us an attractive partner for institutional investors who consider leased railcars to be good long-term investments. The recent three-year extension and increase in the size of our leasing warehouse facility to $1 billion provides additional financial flexibility to expand new lease originations and enhances our commercial positioning. We continue to have ongoing conversations with institutional investors interested in owning leased railcars and having Trinity manage and service their investments. In summary, Trinity Rail's integrated business platform is well positioned and responding effectively to healthy railcar demand. The Rail Group and Leasing and Management Services Group delivered exceptional results during the first quarter. I expect our performance to be strong throughout the balance of 2015 as well. Our operating and financial flexibility continue to differentiate Trinity Rail enhancing our position as a premier provider of railcar products and services. I'll now turn it over to James for his remarks.
James E. Perry - Chief Financial Officer & Senior Vice President: Thank you, Steve, and good morning, everyone. Yesterday, we announced our results for the first quarter of 2015. For the quarter, the company reported revenues of more than $1.6 billion in earnings per share of a $1.13 compared to revenues in EPS of $1.5 billion and a $1.42 last year. Last year's first quarter results included $0.75 per share of earnings from the sale of leased railcars compared to $0.18 per share from the sale of lease railcars in this year's first quarter results. During the first quarter, our EPS excluding the sales of leased railcars, reflected strong operating performance across most of our businesses. During the first quarter, we invested approximately $300 million of net capital into several areas that we believe will produce attractive returns for the company. We use our cash-on-hand to make these investments, resulting in a lower cash balance at the end of the quarter than at year-end. I will highlight a few of these investments now. During the first quarter, the company repurchased 720,000 shares of its common stock for $25 million. This leaves $193.6 million of availability under our current authorization. During the quarter, we exercised an early purchase option for one of our sale leaseback transactions called TRL I, which was originally executed in 2001. This portfolio of leased railcars was previously reported off balance sheet. We paid approximately $120 million to acquire the portfolio of 2,800 railcars. The market value of these railcars, should we sell or secure them to get future indebtedness is well in excess of our purchase price or their net book value. This investment reduces our financing cost and increases our flexibility to refinance or sell the railcars at a later date. The purchase of these railcars is reflected in our leasing capital expenditures for the quarter. The reduction in rent expense associated with this purchase was included in our previous 2015 earnings guidance. In addition to the purchase of the TRL I portfolio, we invested approximately $210 million in leased railcar additions to our own leased fleet during the quarter. This investment was partially offset by $157 million of leased railcar sales. Leased railcars remained a very good investment for us, offering attractive returns with strong cash flow while the railcars are in our fleet and the opportunity for additional profit recognition from sales to third parties, including institutional investors. Also during the first quarter, we acquired the assets of three lightweight Aggregates plants in the Southern United States for $46 million. We continue to build out the lightweight Aggregates platform within our Construction Products Group and now have an expanded presence in this market extending from California to Alabama. Finally, we invested $54 million in CapEx during the quarter across a number of our manufacturing businesses and at the corporate level. We did not add any debt during the first quarter, and in fact, repaid approximately $70 million. At the end of the first quarter, our available liquidity stood at approximately $1.40 billion. Shortly after the close of the quarter, our liquidity position was further enhanced to $1.67 billion with the increase in our leasing warehouse facility from $475 million to $1 billion. In addition to increasing the facility, we extended this maturity to three years, a year longer than the traditional two years, providing us enhanced flexibility to finance our record $2.3 billion backlog of leased railcars and the future lease originations. Our warehouse facility provides us with a low cost and flexible source of financing, between the time of production and the ultimate sale or financing of the leased railcars. As provided in our press release yesterday, our updated guidance for 2015 annual EPS is $4.10 to $4.45. We expect the level of quarterly EPS to be relatively consistent throughout the remainder of the year. Our earnings outlook for 2015 reflects the positive momentum we are experiencing in our businesses. We remain very well positioned with the combined $7.8 billion backlog in our railcar, Inland Barge, and wind towers businesses. At the same time, our businesses are navigating through some uncertainties that could impact our performance in 2015, one of which is the price of oil. Our guidance also includes earnings from the sale of leased railcars. As I said previously, these earnings totaled $0.18 per share during the first quarter and includes profit recorded in the Rail and the Leasing Groups. Earnings generation from the sale of leased railcars is expected to be a normal part of our business model going forward. In 2015, as Steve mentioned, we expect our Rail Group to deliver between 33,000 and 34,500 railcars during the year, an increase from our previous guidance range. This will result in total revenues for the Rail Group of between $4.3 billion and $4.5 billion, and an expected operating margin of 18% to 19%. We expect our Leasing Group to record 2015 operating revenues, which excludes leased railcar sales of $690 million to $710 million with operating profit from operations of $315 million to $335 million. Our 2015 guidance includes approximately $1 billion of sales of leased railcars to Element, which will fulfill the $2 billion strategic railcar alliance that we began in December 2013. This total was $127 million in the first quarter, bringing the cumulative total to $1.1 billion. As we previously stated, we expect the timing of the sale to Element to be more weighted towards the second half of the year. In 2015, we anticipate the Leasing Group will report proceeds from sales of leased railcars from the leased fleet of approximately $685 million to $710 million with profit of $160 million to $175 million. This compares to our previous annual guidance ranges of $430 million to $450 million, and $115 million to $130 million respectively. Our guidance includes sales of leased railcars to Element and other third parties. While the guidance for the level of leased railcars sale activity reported in the Leasing Group has increased, the total level of leased railcar sales and profit in 2015, which includes leased railcars sold directly from the Rail Group, is substantially unchanged from our previous guidance. The level of interest in acquiring leased railcars remained high among institutional investors. We expect our Construction Products Group to record 2015 revenues of $540 million to $560 million with an operating margin of 8.5% to 9.5%. We continue to experience headwinds associated with ongoing ET Plus litigation and uncertainty around Highway funding at the federal and state levels, but are pleased with our performance and opportunities within our Aggregates businesses. Our 2015 guidance now incorporates the lightweight Aggregates acquisition that we made in the first quarter. Our Inland Barge Group is expected to report 2015 revenues of $675 million to $700 million, with an operating margin of 14% to 15%. As Bill mentioned, there is softness in demand for tank barges, but a strengthening in demand for hopper barges, which has increased the backlog and provided better production visibility through the end of 2015. We expect our Energy Equipment Group to generate 2015 revenues of $1.1 billion to $1.2 billion, with an operating margin of 11% to 12%. This includes a full year of operating results from the 2014 acquisition of the assets of Meyer Steel Structures. Corporate expenses are expected to range from $110 million to $125 million during 2015, which includes ongoing expenses related to the Federal Highway litigation and related matters. In 2015, we now expect to eliminate between $820 million and $870 million of revenue and defer between $150 million and $170 million of operating profit due to the addition of new railcars to our lease fleet, and the timing of new leased railcars manufactured by the Rail Group that are expected to be sold to institutional investors. We expect these eliminations to be slightly more weighted toward the first half of the year. As a reminder, we eliminated $259 million of revenue and deferred $48 million of profit in the first quarter. We expect to eliminate between $375 million and $395 million of revenues from other intercompany transactions during the year. Our annual EPS guidance also includes the following assumptions; a tax rate of approximately 33.5%, but this rate could vary quarter-to-quarter; the deduction of between $30 million and $35 million of non-controlling earnings due to our partial ownership in TRIP and RIV 2013; a reduction of $0.15 per share due to the two-class method of accounting compared to calculating Trinity's EPS directly from the face of the income statement; and the dilutive impact from the convertible notes as disclosed in yesterday's press release. As it pertains to cash flow, we expect the annual net cash investment in new railcars in our lease fleet to be between $105 million and $125 million in 2015 after considering the expected proceeds received from leased railcar sales during the year and the purchase of TRL 1. During the second quarter, we expect to prepay in full approximately $340 million of leasing debt that we issued in 2008, known as TRL VI, which is secured by a diversified portfolio of 8,700 railcars. As a result, we will lower financing cost and create flexibility to use this portfolio of railcars in future financings or sales to institutional investors. The market value of the railcars in this portfolio is well above the loan amount. This loan repayment was included in our previous earnings guidance. Full year manufacturing and corporate capital expenditures for 2015 are expected to be between $250 million and $300 million. We have significant cash on hand, and access to capital through our committed lines of credit at both the corporate and leasing levels. As we've said previously, current economic conditions could present opportunities to make acquisitions at favorable valuations that add long-term value to the company. The upper end of our EPS guidance range reflects our goal of achieving a higher level of earnings in 2015. We recognized the importance of sustainable earnings growth and the company's business model is aligned with that goal. Our firm backlogs provide us with production visibility in our major businesses, and our balance sheet is strong. We are well positioned in 2015. As we prepare for a question-and-answer session, please note that Theis' remarks today pertaining to the ET Plus litigation were very thorough. More detail can be found in Note 18 of our Form 10-Q that we will file later today. We will not comment further on the litigation, so we ask that your questions today focus on our operations. Our operator will now prepare us for the question-and-answer session.
Operator: Thank you. We'll first move to Allison Poliniak with Wells Fargo. Please go ahead. Your line is open.
Allison A. Poliniak-Cusic - Wells Fargo Securities LLC: Hi, guys. Good morning. James, just trying to reconcile sort of the guidance that you've talked about with your comment about how it should remain – the EPS levels should remain fairly level this year. It sounds like that the Element, and maybe it's more of the leasing, the Element and then some of the eliminations at the back half would be stronger, could you help me walk through sort of the quarterly variation where I'm thinking that's strong?
James E. Perry - Chief Financial Officer & Senior Vice President: Yeah, Allison, thank you. This is James. And as we mentioned, there's a few pieces or a few moving parts to put together. I think you've summarized it pretty well. What we intend to imply is the earnings for the second, third and fourth quarter are going to be relatively consistent with each other. The first quarter was $1.13 and with our guidance of $4.10 to $4.45, we expect earnings to be relatively smooth. As we've always talked about that could change quarter-to-quarter based on sales of leased railcars, exactly which cars we eliminate, some of those type things, what our volume is in certain businesses. But our implication there is that earnings will remain relatively steady. We did say eliminations are only slightly higher in the first half of the year, where Zelman (31:41) will be a little higher in the back half of the year, so putting those pieces together results in relatively consistent earnings.
Allison A. Poliniak-Cusic - Wells Fargo Securities LLC: Okay. Great. And then, just your comment about the institutional interest in railcars, I know you said it remained strong, but any changes in buying pattern or interest there, just because of sort of crude falling apart at this point?
James E. Perry - Chief Financial Officer & Senior Vice President: Allison, this is James again. And I think Steve and I both mentioned there remains strong interest in this asset class of railcars. Beyond that, I don't think that we would say that there's been necessarily any shifts that we would report, so we continue to have very good dialogue and a lot of interest in the market.
Allison A. Poliniak-Cusic - Wells Fargo Securities LLC: Okay. And then, just last question on the Energy side, the Energy Equipment, the Storage business, I guess, is a little bit more tied to the crude, but just any thoughts on what you're seeing on crude related outside of Rail in terms of your business, and how you're thinking about that as we move through the year?
William A. McWhirter - Group President-Construction Products & Senior VP: Yeah, Allison, this is Bill. As I said in my conference call we're certainly seeing some headwinds related to the crude side and a couple other particular businesses within the Energy segment. We're fortunate to have other businesses in the Energy segment that really do a nice job of offsetting it. So I think particularly storage market, it's going to be pretty competitive right now. Oil field products are extremely competitive and low in volume right now.
Allison A. Poliniak-Cusic - Wells Fargo Securities LLC: Okay, great. Thank you.
Operator: Thank you. And next we'll move to Steve Barger with KeyBanc Capital Markets. Please go ahead. Your line is open.
Steve Barger - KeyBanc Capital Markets, Inc.: Hi. Good morning.
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Good morning.
Steve Barger - KeyBanc Capital Markets, Inc.: First on capital allocation. You did buy $25 million worth of stock in the quarter, good to see that resumption. Obviously, the stock is under a lot of pressure this week. Do you expect to remain active on the authorization in 2Q?
James E. Perry - Chief Financial Officer & Senior Vice President: Yeah, Steve, this is James. I think when we look at our capital investment you saw that it was very broad based. In the first quarter, we had an acquisition. We, obviously, continue to pay the dividend. We did resume our share repurchase program. We bought in a portfolio of leased railcar. So, I think you've seen that we've continued to invest our capital across a broad base of opportunities. As you know, we don't specifically talk about plans we might have in the future or what we may be currently thinking about in terms of things like share repurchase. Certainly resuming that in the first quarter, we were pleased to be able to do that.
Steve Barger - KeyBanc Capital Markets, Inc.: Good. Yeah. And, James, you have a lot of cash flow that's going to be unlocked from the backlog in the next year or two, obviously, a lot of existing liquidity that you've kind of bolstered if anything in the quarter. From a capital allocation standpoint, can you talk about, are you seeing high return, internal investments that you want to pursue or external opportunities to mitigate future cycles, while this one is so strong? Just kind of what's the thought process in terms of how you're – all the liquidity?
James E. Perry - Chief Financial Officer & Senior Vice President: Sure, Steve. I think it's all of the above. This is James. I think when you look at all the opportunities we have, we've always said and continue to say, as I mentioned today, investing in leased railcars is a very attractive investment for us and we did that in the first quarter and with the $2.3 billion backlog, obviously, some of that will come into our fleet, some could get sold to institutional investors. We're very pleased with the returns that those railcars provide for us as well as cash flow. We are very pleased with internal CapEx initiatives and – at the manufacturing level the returns we're able to achieve through the process we go through and investing in our own facilities whether it would be for efficiency or capacity. You've mentioned acquisitions. We certainly continue to, as Tim talked about, look for acquisition opportunities at good valuations for both the short term and more importantly for the long term. And I think the other thing you've seen us do is we talked about in the first quarter and we announced, we plan to do in the second quarter is paying off some debt or in the first quarter's case, a sale leaseback transaction. These are savings on the financing side for us. It's a good use of our capital right now. It certainly strengthens the balance sheet. So, I think really it's an all the above strategy. We're going to look at each quarter, the senior management, executive management works with our board. We look at all the opportunities in front of us and with as you mentioned the balance sheet, we have in the strong cash flows, we have a lot of opportunity.
Steve Barger - KeyBanc Capital Markets, Inc.: Thanks for that. I understand you don't want to talk about the legal stuff, right. I just have a technical question. All the facts and outcomes have been on your side so far in the civil case. So, the question is, does mediation have to conclude one way or another before a civil penalty is applied? And I'm just trying to give a sense for when the appeals process can start. So, you can move past this.
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Theis, you want to take that?
S. Theis Rice - Chief Legal Officer & Senior Vice President: Yeah. Good question. No. There is no deadline for the mediation. There is no condition that has to take place to continue the mediation or stop the mediation. At this point, we're just proceeding with the order and good faith and we're preparing our appeal on the eventuality that the court entered judgment on the verdict.
Steve Barger - KeyBanc Capital Markets, Inc.: So, the two things aren't linked, you could see the civil penalty applied at any time basically?
S. Theis Rice - Chief Legal Officer & Senior Vice President: Yes.
Steve Barger - KeyBanc Capital Markets, Inc.: All right. Thanks. I'll get back in the line.
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Thanks, Steve.
Operator: Thank you. And next we'll move to Justin Long with Stephens. Please go ahead. Your line is open.
Justin Long - Stephens, Inc.: Thanks and good morning, guys.
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Good morning.
James E. Perry - Chief Financial Officer & Senior Vice President: Good morning.
Justin Long - Stephens, Inc.: One thing that you've emphasized recently is the non-crude tank car exposure in your backlog. So, first, I was wondering, if you could talk about the specific commodity groups that are driving this non-crude tank car demand? And second, with a pretty strong non-crude tank car backlog today, what are your thoughts about the opportunity for incremental orders from here, and the sustainability of that backlog?
D. Stephen Menzies - Senior Vice President: Yeah. Justin this is Steve. Thank you for your question. It's not just tank cars in our backlog, it's also freight cars in our backlog and those are serving really downstream petrochemical and chemical markets and agricultural markets as well. We have received a fair number of tank car orders beyond those serving the crude oil market as well. We're very pleased with the diversification that we're seeing in our orders. And again, we see a broadening of demand on our four railcars and in our inquiry levels as well. And I think that'll sustain certainly through the second quarter as we look today.
Justin Long - Stephens, Inc.: Okay. Great. Second question I had – I wanted to ask about M&A, has anything changed on your view there in terms of your comfort level committing to a sizable acquisition if the right opportunity presented itself? I'm just curious if you're more open to deploying capital for an acquisition given the positive results of the guardrail tests or is the approach in the near-term still a bit more conservative?
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Justin, this is Tim. We look at acquisition opportunities of all sizes. As I said, we're looking for businesses that have products and services, and technologies and competencies that enrich the existing businesses that we have in our portfolio. We do not have any type of moratorium in place on acquisitions. It's purely an opportunistic viewpoint that we have and then we have other sources of opportunities for utilizing our capital. So we don't set any target of allocation for acquisitions. We basically just have a number of companies that have met our criteria and then we watch for opportunistic times as to when it makes sense to pursue these companies.
Justin Long - Stephens, Inc.: Okay. But you would feel comfortable allocating capital to an acquisition today even without a final resolution on the guardrail litigation?
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Like I said, we don't have any type of restrictions that we placed on ourselves or our board has placed on ourselves. It's all about the return on the capital and opportunistic situation that we're confronted with.
Justin Long - Stephens, Inc.: Okay. Great. That's helpful. And I'll just ask one more and then hop back in the queue, but I wanted to ask if there was any change to the number of tank cars inflammable service that you either wholly or partially own in the lease fleet today?
James E. Perry - Chief Financial Officer & Senior Vice President: Justin, this is James. Virtually not. That has been relatively steady the last few quarters.
Justin Long - Stephens, Inc.: So, still around – is it 11,000 units or so?
James E. Perry - Chief Financial Officer & Senior Vice President: Yes.
Justin Long - Stephens, Inc.: Okay, great. I appreciate the time this morning.
James E. Perry - Chief Financial Officer & Senior Vice President: Thank you, Justin.
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Thank you.
Operator: Thank you. And next we will move to Eric Crawford with UBS. Please go ahead. Your line is open.
Eric Crawford - UBS Securities LLC: Thanks. Hi, good morning.
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Good morning.
Eric Crawford - UBS Securities LLC: On cash, working capital was a bigger use of cash relative to last year in the quarter. Is that just the timing issue? Any color there would be helpful. And related to that, how do you expect cash from operations to compare to your net income for the year?
James E. Perry - Chief Financial Officer & Senior Vice President: Yeah. Eric, this is James. Thanks for that question and seeing that on our balance sheet and the cash flow statements, one thing you will note is clearly with the higher deliveries in the Rail Group, record deliveries in the Rail Group, and nice volume across our businesses with the $1.6 billion of revenue, that's going to require a somewhat higher level of working capital. It was incrementally higher. Part of it is certainly timing. You will see the one note (41:14) when you look at the components of working capital, the receivables were a little bit higher. We had several customers make payments at year end. And in the first quarter it kind of went back to the normal, the normal timing. So, I think I would put that more on timing than anything else. We don't have guidance for working capital or operating cash flow for the year, because it is difficult to assess that based on timing.
Eric Crawford - UBS Securities LLC: Understood, okay. That's helpful, thank you. And, I guess, not sure if this was totally addressed, but following up on Steve's question, the $25 million in repurchases was lower than I would have thought. Was that at all a function of a shorter time window, or any detail on some puts and takes there would be helpful?
James E. Perry - Chief Financial Officer & Senior Vice President: Yeah. Eric, without a lot of detail, I think you did hit on one factor, which is a shorter time window. We don't buy shares as we prepare to announce our results for the quarter, and given at the end of the fourth quarter, we're not reporting until mid-February. Your days left in the quarter are a little bit shorter than you would have seen maybe in the second quarter, third quarter, and fourth quarter of last year, for example, but that could vary quarter-to-quarter. So, not a specific reason for that, but I think you've hit on one reason that could be a part of that.
Eric Crawford - UBS Securities LLC: Okay, great. And then lastly, the increased railcar delivery guidance that you provided is still below what I would expect you to realize given nearly 9,000 deliveries in the quarter. I'm not sure if I missed it in the remarks, but why is the cadence of deliveries forecast to decline from 1Q at midpoint and implies a small decline?
D. Stephen Menzies - Senior Vice President: Yeah, this is Steve, Eric. Our first quarter railcar production reflected the delivery schedule requested by our customers. I think the low end of our annual guidance range implies a quarterly production rate that steps down a couple hundred cars in 2015 and taken into account potential disruptions that could occur within our business. But I think what we have planned would be fairly smooth throughout the rest of the year and I'm confident of the range that we've provided to you.
Eric Crawford - UBS Securities LLC: Okay, fair enough. Thanks a lot, guys.
James E. Perry - Chief Financial Officer & Senior Vice President: Thank you.
Operator: Thank you. Next we'll move to Sal Vitale with Sterne, Agee. Please go ahead. Your line is open.
Sal Vitale - Sterne, Agee & Leach, Inc.: Good morning, all.
D. Stephen Menzies - Senior Vice President: Good morning.
Sal Vitale - Sterne, Agee & Leach, Inc.: Steve, just to follow-up on the last question. So, just to make sure I got that right. So in that 32,000, or rather I'm sorry 33,000 to 34,500 range of deliveries, are you baking in you said some potential disruptions you may face?
D. Stephen Menzies - Senior Vice President: Well, when I talk about disruption, Sal, I'm talking about of border crossings, when we're bringing cars up from our Mexico facilities. We find that component supply is very, very tight right now. So, we just want to be cautious in our guidance and provide you a broad range.
Sal Vitale - Sterne, Agee & Leach, Inc.: Okay. But then it is feasible possibility that it could be above the 34,500, correct?
D. Stephen Menzies - Senior Vice President: Right now, our range offered is 33,000 and 34,500.
Sal Vitale - Sterne, Agee & Leach, Inc.: Okay. So then on the backlog, can you provide any color as to how much of the backlog in units delivers in 2016 at this point?
D. Stephen Menzies - Senior Vice President: Sal, we typically don't provide breakout of our backlog into 2015 and 2016. But I'm very pleased with the visibility we have into our production plans to go well into 2016, and some of our lines actually go into 2017 as well.
Sal Vitale - Sterne, Agee & Leach, Inc.: Okay. And then of that guidance range of 33,000 to 34,500, does that all come from the backlog at this point or there are some slots that you'd plan to fill with orders over the next quarter?
D. Stephen Menzies - Senior Vice President: Yeah. It substantially comes from our backlog. We have a few production slots available yet in 2015, but not of any significant measure.
Sal Vitale - Sterne, Agee & Leach, Inc.: Okay. Thank you on that. And then just a quick question for you James on the guidance. Just want to get a picture here. If I look at the guidance you gave on the profit on proceeds of sales of cars that are at the leased fleet, you said that increased from a range of $115 million to $130 million last quarter to now it's $160 million to $175 million, is that right?
James E. Perry - Chief Financial Officer & Senior Vice President: Yes, that is all we said. And what we also said was a lot of that as we've talked about before is geography, whether it comes directly out of the Rail Group. The current forecast would show a little more coming out of the Leasing Group than we previously had guided. The total, however, between those two and overall earnings from these railcar sales embedded within our $410 million to $445 million of guidance is substantially unchanged.
Sal Vitale - Sterne, Agee & Leach, Inc.: Okay. And then just the last question. If I look at the change in the number of cars in the leased fleet and that's both wholly owned and partially owned, I think it increased, I think I had written down here about 240 cars. And I was just trying to reconcile that to what you said earlier. I think you said you sold 2,000 leased cars during the quarter, and then did you say that you've delivered about 2,200 into the fleet?
James E. Perry - Chief Financial Officer & Senior Vice President: Yeah. Sal, there's a few moving parts, which I'm sure happy to help walk you through. To your point, we did add deliveries into the fleet a little over $200 million. We sold some cars out and then remember also, we brought into on balance sheet the TRL I portfolio that we purchased in the first quarter for $120 million.
Sal Vitale - Sterne, Agee & Leach, Inc.: Yeah. That was 2,800 cars, correct?
James E. Perry - Chief Financial Officer & Senior Vice President: Yes.
Sal Vitale - Sterne, Agee & Leach, Inc.: Okay. All right. Thank you very much.
Operator: Thank you. Our next question comes from Bascome Majors with Susquehanna. Please go ahead. Your line is open.
Bascome Majors - Susquehanna Financial Group LLLP: Yes. Good morning. So you disclosed that your sales to Element were about $130 million in the first quarter and certainly said that it will be heavier in the second half of the year. It looks like to get to your $1 billion that you say you're still going to hit by the end of the year, you need about $300 million a quarter sold to them. Can you just walk us through kind of what's driving the cadence of that timing there, and maybe which quarters will see the lumpier ones with the higher end versus lower end just for modeling purposes et cetera?
James E. Perry - Chief Financial Officer & Senior Vice President: Bascome, this is James. I think it's hard to give a lot of cadence. It's simply in our conversations with Element, where we assume they are at this point, and we've said they're a little more weighted towards the back half of the year, that's what we have said previously as well. To your point, it does imply several hundred million dollars a quarter. As we go through the rest of the year, we are confident in completing the $2 billion this year, but it's going to vary quarter-to-quarter on the cars we have available coming off our production line, the cars from our lease fleet that we will sell directly to Element, the diversity of those fleets and those kind of things. So, hard to give specific cadence, and that's also why as we say while we have relatively consistent quarterly EPS guidance, we really prefer to lean on annual guidance because the timing of that can shift from quarter-to-quarter.
Bascome Majors - Susquehanna Financial Group LLLP: Is the light start and heavier, and is it a function of just what you've got available by car type depending on the quarter or is it something more than that?
James E. Perry - Chief Financial Officer & Senior Vice President: I think it's a myriad of factors. I think, as I've mentioned, what's off the production line, what's coming out of our lease fleet, it's just in our conversations and our work with Element, putting their portfolio together for them.
Bascome Majors - Susquehanna Financial Group LLLP: All right. And – I'm sorry go ahead.
D. Stephen Menzies - Senior Vice President: Bascome, this is Steve. We also want to work properly with institutional investors to make sure that they have diversified fleets, so that we do work with things coming off our production line and the balance is coming out of our portfolios.
Bascome Majors - Susquehanna Financial Group LLLP: All right. Well, thank you for that. I know it's only April, but there seems to be a disconnect with some investors year-over-year, 2016 prospects versus some of your peers. I know that you'll see a year-over-year earnings and cash flow headwind from Element relationship assuming that it doesn't renew at the same level next year in 2016 as is expected to be $1 billion this year. But, I mean, is there any way you can talk high level about some of your markets as you see them ending up or in the back half of this year and entering 2016? What do you see as the opportunities, what do you see as the headwinds, and I guess I'll just stop at that?
James E. Perry - Chief Financial Officer & Senior Vice President: Bascome, this is James. I think it's hard to talk too much about 2016. Now, as you said, it is April. Well, we certainly have portions of our $7.8 billion backlog that extended into 2016 as Steve and others have mentioned. That gives us some visibility, but it's hard to get too detailed about that. As Steve and I both talked about, we do have ongoing conversations with institutional investors to maintain sales of leased railcars contributing to earnings as a normal part of our business model. We have a lot of capital investment opportunities, and our goal is to have sustained earnings growth as the focus of the company.
Bascome Majors - Susquehanna Financial Group LLLP: All right. Well, thank you for the time this morning.
James E. Perry - Chief Financial Officer & Senior Vice President: Thank you.
Operator: Thank you. And next we'll move to Cleo Zagrean with Macquarie. Please go ahead. Your line is open.
Cleo Zagrean - Macquarie Capital (USA), Inc.: Good morning, and thank you. I was wondering whether you could comment on your thoughts on the recent announced sale of GE's Rail fleet. How do you see that impact the market, your operations and the day-to-day lease portfolio, as well as the transactional opportunity? Thank you.
D. Stephen Menzies - Senior Vice President: Good morning, Cleo. This is Steve. I think you're aware that GE Capital has basically put substantially all of its assets up for sale and the GE Rail business is certainly part of that as well. That business has been for sale for, I don't know, for a number of years. It could be an attractive investment for any number of financial institutions. We won't comment particularly about our interest, but it's certainly an important factor in the market and has a substantial portfolio with a number of customer relationship. So it should be an attractive asset to a potential investor.
Cleo Zagrean - Macquarie Capital (USA), Inc.: Do you see that maybe helping rates as a result of consolidating markets, but maybe adding competition for your transactional opportunities since there is a big chunk of assets out for sale?
D. Stephen Menzies - Senior Vice President: Yeah. I can't think of what impact that would have on lease pricing – lease rates today. But I will tell you that there is substantial capital available looking to make investment on leased railcars and well beyond what I think of purchase price for that business could possibly be.
Cleo Zagrean - Macquarie Capital (USA), Inc.: Okay. Thank you. And that actually ties into my next question, which is sort of a point you made about continued high investment in vested interest from a financial side. Could we look at your guidance for transactional earnings as conservative? You have maintained it since the beginning of the year.
James E. Perry - Chief Financial Officer & Senior Vice President: Yeah. Cleo, this is James. We've not given specific guidance on that portion of our earnings. It's embedded within our increased guidance and we gave you where we were in the first quarter and said that, at least with Element, it's a little more weighted towards the back half of the year, but I think it's just embedded as a part of our overall guidance.
Cleo Zagrean - Macquarie Capital (USA), Inc.: Okay. Thank you. And then lastly, could you please talk about opportunities in the energy industrial area of your portfolio, where lower crude prices are a benefit, where you could see growth either in your current portfolio or from M&A? Thank you.
James E. Perry - Chief Financial Officer & Senior Vice President: Cleo, this is James. I think as Tim pointed out, we'd certainly see attractive investment opportunities across a lot of things. And to your point, M&A could be a part of that. The energy and infrastructure sector can certainly be a part of that. I think it would be hard to comment on specific opportunities or industries, but things that fit well with our industrial portfolio would be of interest.
D. Stephen Menzies - Senior Vice President: And, Cleo, I might add from a Rail perspective, lower energy price is certainly a catalyst for producers of resins, other petrochemicals, the refiners, fertilizer producers. So there are beneficiaries in our customer base in our Rail business from lower energy prices that should spur demand for additional equipment in our business.
Cleo Zagrean - Macquarie Capital (USA), Inc.: Thank you. Appreciate it.
Operator: Okay. Thank you. And next we'll move to Matt Brooklier with Longbow Research. Please go ahead. Your line is open.
Matt S. Brooklier - Longbow Research LLC: Hey, thanks and good morning. So I just wanted to try one more on Element. Given your commentary for revenue to roughly, I guess, double versus the sales that you had in first quarter, I guess, that would imply that potentially the profitability or EPS from the Element sales would also potentially double. Yet, I guess, the EPS guidance is for earnings to stay relatively consistent with first quarter. So I'm just trying to figure out what maybe the disconnect is on my end, and if I'm not thinking about this correctly.
James E. Perry - Chief Financial Officer & Senior Vice President: I would add that eliminations were a little bit higher in Q1. As we pointed out, those are a little more weighted towards the first part of the year. We had $0.18 of earnings from the sale of leased railcars in the first quarter. And if you look at the type of guidance we provided for earnings from the sale of leased railcars, it's a higher number as the year goes on, and that would be consistent with the higher level of sales to Element and others that we have forecasted. So I'm not sure there's a disconnect necessarily, but obviously, there's a lot of moving parts in our business, as we go through the year in terms of volume and production rates in different parts of the business. If you kind of look at our overall guidance for an area like barge, for example, versus where we were (55:01) first quarter, the run rate is a little lower the back part of the year. And so things like earnings from sales of leased railcars to Element and others offset that to maintain relatively consistent earnings.
Matt S. Brooklier - Longbow Research LLC: Okay, helpful. And then ASP up pretty significantly in the first quarter. Just trying to get a sense for what were some of the drivers there and then how should we think about ASP as we progress through the rest of this year.
James E. Perry - Chief Financial Officer & Senior Vice President: Steve?
D. Stephen Menzies - Senior Vice President: Yeah. I assume you're referring to Rail in that question, Matt?
Matt S. Brooklier - Longbow Research LLC: Yes, yes.
D. Stephen Menzies - Senior Vice President: Really product mix in the first quarter orders, we had some very high value railcars, in particular pressure tank cars, railcars made of stainless steel. Auto racks had a very significant impact on those average selling prices.
Matt S. Brooklier - Longbow Research LLC: Okay. I mean, as we move forward, should we assume that maybe ASP comes down a little bit from what you did in the first quarter. Is that a kind of a fair way of looking at things?
D. Stephen Menzies - Senior Vice President: It really becomes a mix issue and perhaps I don't have that statistic in front of me, but it's really a mix issue.
Matt S. Brooklier - Longbow Research LLC: Okay.
James E. Perry - Chief Financial Officer & Senior Vice President: And, Matt, this is James. As you look at the average price of railcars in our backlog, it remains pretty healthy. Obviously, the mix has changed a bit, as Steve talks about, and that's going to affect things quarter-to-quarter. But we're forecasting a very healthy margin for the balance of the year in the Rail Group and I think that's reflective of good pricing and efficiencies we expect in the Rail Group.
Matt S. Brooklier - Longbow Research LLC: Okay. And then in terms of the guidance for railcar deliveries, which came up a little bit, I just want to confirm what you're assuming this year that does not include the potential, I guess, contribution from the tank facility that you've restarted in Georgia and the potential replacement cycle that could hit in the second half, given regulations coming through in hopefully May?
D. Stephen Menzies - Senior Vice President: Yeah, Matt, this is Steve. Our guidance does include cars that are currently being produced at our Georgia facility, but it does not include any potential incremental increase in demand from a regulatory change.
Matt S. Brooklier - Longbow Research LLC: Okay. Helpful. Thank you for the time.
Operator: And thank you. Next we'll move to Mike Baudendistel with Stifel. Please go ahead. Your line is open.
Mike J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Thank you. Actually got disconnected during the litigation portion; so I'm sorry, if this was already addressed, but just want to confirm that the...
James E. Perry - Chief Financial Officer & Senior Vice President: Michael, I think you've been disconnected again. We can't hear Michael, operator?
Mike J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Hello, can you hear me now?
James E. Perry - Chief Financial Officer & Senior Vice President: We can now. Thank you.
Mike J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Okay. Just wanted to confirm that – because I missed the litigation discussion that the Department of Justice has not contacted you at this point, that remains true?
James E. Perry - Chief Financial Officer & Senior Vice President: We have attempted to set up a meeting this morning to meet with Justice. I have not heard back from that meeting, so there has been contact made, but we don't have any information.
Mike J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Okay. And then the – I think the market is reacting negatively to the number of orders below 5,000 units. Is there anything that the Street might be missing there either because your backlogs are so long that you are less competitive on when those cars are going to be delivered or just anything else that the market might be missing about that number?
D. Stephen Menzies - Senior Vice President: Yeah, Michael, this is Steve. Orders are not necessarily smooth quarter-to-quarter, they are lumpy from that standpoint, but I'm very pleased with the level of order inquiries we've seen during the fourth quarter and that continues into the second quarter. We remain very confident of the fundamentals in railcar demand right now. We do have an extended backlog and it is very healthy and that obviously provides us good insight into our production planning.
Mike J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Okay, great. And just one last one, is on borrowing cost. I mean does the – the increase in liquidity to some of these facilities, does that increase the borrowing cost at all in the next several quarters?
James E. Perry - Chief Financial Officer & Senior Vice President: Yeah. This is James. Increasing the warehouse facility, there's obviously a small carrying cost with that, but we've reduced our financing cost by the purchasing of TRL I through rent expense and the anticipated repurchase or loan payoff, I should say of TRL VI – TRL I firstly, TRL VI in the second case, I apologize. So you're talking incremental carrying cost. We already had warehouse carrying cost, so having a slightly higher, it's not a significant matter in our overall financials, but it's certainly embedded in the guidance.
Mike J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Okay. Great. Thank you.
Operator: And thank you. Next we'll move to Kristine Kubacki with Avondale Partners. Please go ahead.
Kristine Kubacki - Avondale Partners LLC: Good morning. My question is about yesterday, GATX on their conference call and our own channel checks are suggesting the same thing that there's availability suddenly opening up in the backlog, particularly in the fourth quarter and first quarter in the industry. And I know the OEMs at large have maintained that the backlog is non-cancelable, but can you comment on that that widening availability and our customers coming to you to push things around or things reshuffling in the backlog?
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Steve?
D. Stephen Menzies - Senior Vice President: Yeah, Kristine, this is Steve. We've increased our production plans to 33,000 to 34,500 cars this year and that would include any consideration we've had from customers asking us to either push back, and in many case we've had customers asking us to move their cars up. So I'm not sure about your market channels, but that's not the experience we're having right now at Trinity.
Kristine Kubacki - Avondale Partners LLC: Okay. And then, I guess, just one last question, it's a little bit of disconnect I guess based on the turn of their conference calls and obviously we've gone through, mostly all the railroads have reported and obviously there has been a reset, I mean, that's not just in a few commodity groups but we're seeing some pretty significant headwinds whether it's on volumes coming down, we're seeing cars come offline, and presumably go into storage, and you are saying the inquiry level is still strong. I guess, I'm wondering, what the disconnect there is? Are customers just looking past maybe this is a soft patch or is there something more foreboding, I guess, coming down the pike?
D. Stephen Menzies - Senior Vice President: Yeah. Kristine, Steve again. Again, we're seeing very strong inquiries through the second quarter, very consistent with the inquiry levels we've seen in the late last year into the first quarter. One of the beauties of the Leasing business is we have long-term contracts. So while there may be short-term positives and the demand for certain commodities, our long-term lease contracts provide for those cars to continue to be on rent, and hence the high strong utilization that we have in our lease fleet. When you look industry-wide, we see strong utilization across leased fleets. We see long backlogs from a production standpoint, and we think that certainly serves well for continued strong demand.
Kristine Kubacki - Avondale Partners LLC: Yeah. That's very helpful. I appreciate your time. Thank you.
Operator: Thank you. Next we'll move to Art Hatfield with Raymond James. Please go ahead. Your line is open.
Art W. Hatfield - Raymond James & Associates, Inc.: Hey. Good morning. Can you hear me this morning?
James E. Perry - Chief Financial Officer & Senior Vice President: Yes, Art. Thank you.
Art W. Hatfield - Raymond James & Associates, Inc.: Hey. Thanks, James. Hey, just thanks for taking my question. And I'll just be short, I know the call has been long. A curious question about the expense side. Some of the other industries that I follow are starting to see some labor shortages and some upward wage pressure. Are you seeing any of that in any of your manufacturing businesses?
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Bill, you want to comment on that?
William A. McWhirter - Group President-Construction Products & Senior VP: You know, Art, I think from a labor perspective, labor is certainly tight, certainly hard to get and maintain skilled labor forces. We are seeing some labor rate increases, but I wouldn't consider it a major cost drag to the business at this point in time. Steve, maybe add to that.
D. Stephen Menzies - Senior Vice President: Yeah. We've been – Art, this is Steve. We've been very pleased with our hiring abilities in our Georgia and Arkansas facilities but there are pockets in the country that are more competitive from a labor standpoint than others. But, generally, we would able to get the talent and retain the people consistent with our historical pay patterns.
Art W. Hatfield - Raymond James & Associates, Inc.: And are you seeing anything unusual in those pay patterns or inflation is a little bit higher than you've seen in the past at all at this point in time?
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Well, this is Tim. What we do is throughout our whole system, we keep track of where the wage rates are within a particular market and then we try remain to competitive as possible. There has been over the last year or two a movement upward for talented people, not only in the shop environment, but throughout the administrative ranks as well.
Art W. Hatfield - Raymond James & Associates, Inc.: Right. Thanks for your time this morning.
Operator: Thank you. And next we'll move to Bill Baldwin with Baldwin Anthony. Please go ahead. Your line is open.
Bill Baldwin - Baldwin Anthony Securities: Thank you. Steve, I was just going to – you already touched base on a little bit regarding Cartersville but I'm just going to ask you how the ramp up is going there and how that's coming along in terms of getting that facility up and running and do you have it where you want to have at this point in time or is there more to be done?
D. Stephen Menzies - Senior Vice President: Thanks, Bill, for the question. I'm very pleased with our Georgia facility coming back on stream, they're producing at a good level. We have additional capacity there if the market demand provides for. I'm extremely pleased with the ability that we've had to bring back a number of people who worked at that facility prior to us closing in 2009 both at the management level and at a shop floor level. So we have been able to ramp up a little more quickly that facility because of the familiarity with our business that folks have had.
Bill Baldwin - Baldwin Anthony Securities: Thank you for the color, Steve.
Operator: Thank you. And it does look like we have ran out of time for today. At this time, I'll turn the call back over Gail Peck for closing comments.
Gail M. Peck - Treasurer & Vice President of Finance: Thank you, Tony. That concludes today's conference call. A replay of this call will be available after 1 o'clock Eastern Standard Time today through midnight on May 1, 2015. The access number is 402-220-0464. Also the replay will be available on the website located at www.trin.net. We look forward to visiting with you again on our next conference call. Thank you for joining us this morning.
Operator: Thank you. This does conclude today's conference. You may disconnect at anytime and have a great day.